Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Scorpio Bulkers First Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Chief Financial Officer, Hugh Baker. Sir, please go ahead.
Hugh Baker: Thank you, operator. Thank you all for joining us today. On the call with me are: Emanuele Lauro, our Chairman and Chief Executive Officer; Robert Bugbee, our President; Cameron Mackey, our Chief Operating Officer; and we have Michael Ferrante our Chief Accounting Officer; David Morant, Managing Director; and James Doyle, Senior Financial Analyst. Earlier today, we issued our 2020 first quarter earnings press release, which is available on our website. The information discussed on this call is based on information as of today, May 11, 2020 and may contain forward-looking statements that involve risk and uncertainty. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statement disclosure in the earnings press release that we issued today as well as Scorpio Bulkers’ SEC filings, which are available at www.scorpiobulkers.com and www.sec.gov. Call participants are advised that the audio of this conference call is being broadcast live on the Internet and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations page of our website for approximately 14 days. There is also a short supplemental presentation with slides, which are available at www.scorpiobulkers.com, on the Investor Relations page under Reports & Presentations. If you have any specific financial modeling questions, you can contact myself, James or Michael, and discuss these offline. Now, I’d like to introduce Emanuele Lauro.
Emanuele Lauro: Thank you, Hugh. Welcome to all and thank you for your time today. Before we start discussing and commenting our results, I wish to take the opportunity to convey to everyone, on behalf of Scorpio Bulkers’ management, its directors and employees, our deepest sympathies towards those who have lost loved ones or have been affected by the COVID-19. While we have been squarely focused on the health and safety of our staff, both ashore and onboard, we feel tremendous gratitude towards the healthcare workers, first responders and others who are on the frontline of the response to this pandemic. Getting to business, Scorpio Bulkers provides dry bulk spot market exposure to our shareholders with a best-in-class fleet of modern Ultramax and Kamsarmax vessels. We have significant gearing to an improvement in the markets and we have made a conscious decision to keep our future days open and un-hedged. We have taken proactive measures to strengthen the balance sheet, giving flexibility to the company with over $110 million in cash liquidity at this point. Our performance year to date has been challenged by specific onetime reasons. First, we have had a surplus of vessels in the Far East. As we look to reposition for drydocks and scrubber retrofits, during the traditionally weak Q1 market. The need to reposition tonnage to the premium Atlantic markets using backhaul voyages created a further drag into Q2, as trade further slowed down with the pandemic. Secondly, the rapid drop in fuel prices at the end of Q1 and early Q2 meant we were consuming expensive fuel for a good part of the period. With our spot strategy, we tend to have 30 to 60 days of fuel on board at any one time. Therefore, historical fuel prices were a substantial negative contributor in the quarter. Particularly, on our non-scrubber-equipped fleet, but also on the numerous vessels that have entered drydock between December and January this year – December 2019 and January this year, with expensive fuel on board, which they had to burn upon re-entry into service in March or April. Whilst there is already the reappearance of some positive momentum, we can see that still in – we can see that still in isolated pockets, April has been the record levels – has seen record levels of Brazilian soya-beans exports. Southeast Asia coal imports have increased notably in Vietnam, April imports are up year on year more than 150%, in the Philippines up more than 120% year on year, Thailand and Malaysia respectively are up 37% and 26%. Whilst our chartering strategy remains geared towards an improving market, management has taken several measures to strengthen the balance sheet. We have reduced our fleet size last year with well-timed sales. We’ve entered into several sale leasebacks on beneficial terms. We have reduced our discretionary CapEx by deferring further scrubber retrofits. We have reduced the current dividend by 75% to preserve further liquidity. And lastly, we have disposed of over half of our residual shareholding in Scorpio Tanker at a profit, providing cash liquidity of nearly $43 million. Our total return on the investment to date is around 30%. We are positive of future gains in this investment, so we expect to hold our residual 3.7% stake of STNG for the foreseeable future. Taken together with the measures above, our balance sheet now has the liquidity to allow us substantial flexibility in our decision making. We are positioned to withstand any weakness that may persist. And with our modern fleet, we are well set to capitalize on any upturn in the second quarter and beyond. As the global economy reaccelerates, and the effects of the pandemic start to resolve. I am done with my initial remarks, and I would like to turn the call to Hugh Baker.
Hugh Baker: Thank you, Emanuele. I’ll briefly summarize certain recent significant events and significant events during the quarter. But for more detail, please refer to this morning’s earnings press release and the supplemental earnings presentation. In March and April 2020, the company executed sale leasebacks for 2 Ultramax vessels and 1 Kamsarmax vessel for approximately $67.3 million in aggregate, increasing the company’s liquidity by $33.6 million. In March 2020, the company entered into agreements to sell the SBI Jaguar and SBI Taurus, which are 2014 and 2015 built Ultramax vessels. And the SBI Bolero, a 2015 built Kamsarmax vessel, for approximately $53.5 million in aggregate. Delivery of the SBI Jaguar and SBI Taurus to their buyers took place in April 2020, while the delivery of the SBI Bolero is expected to take place later this month. In aggregate, these 3 sales will have increased liquidity by approximately $18.3 million. In April 2020, the company reached an agreement with certain counterparties to postpone the delivery of exhaust gas cleaning systems, or scrubbers, on 13 of its vessels by at least 12 months at no additional cost to the company. This will delay the payment of between $20 million and $25 million of expenditures until 2021 at the earliest. As of today’s date, 22 vessels have been installed with scrubbers. In May 2020, the company sold 2 million shares of Scorpio Tankers Inc., for approximately $42.7 million. Of this amount, we will receive approximately $9.8 million in proceeds for the sale of 500,000 shares on May 12, which is tomorrow. As of today, the company retains a holding of 2.16 million shares in Scorpio Tankers, which it expects to retain. In April, the company executed a one-for-ten reverse stock split. And today, the company announced a dividend for the second quarter of $0.05 a share. Finally, I’ll mention our cash position at March 31 was $100.8 million – sorry, at March 31, our cash position was $50.2 million, whereas today, March 8 – March 11, it is $100.8 million. Our cash position does not include net proceeds of $6.2 million from the previously mentioned the sale of SBI Bolero expected within May and also excludes the $9.8 million of proceeds from the sale of STNG shares that I just mentioned. With that, I’d like to turn the call over to Robert Bugbee.
Emanuele Lauro: Robert, are you in mute? Or have you dropped from the line.
Robert Bugbee: Yeah, sorry, sorry. Yeah, sorry. Just want to add a couple of things what Emanuele and Hugh, saying. First thing is that the fact that we can continue paying a dividend is a sign that we’re in good shape with the banks that everything obviously is in covenants, that the relationships are strong as that commonly is one of the first things that go, if somebody is not in good shape. Second thing is just an observation, the cash that STNG will that he was talking about approximately $110 million plus the outstanding value of the STNG shares itself, virtually cost the present market cap of the company. Secondly, we believe that, as Emanuele pointed out, that the spot fleet is ideally placed for a market that we expect to improve quite substantially. We also, by definition, also feel that selling of assets, it’s no longer provides value to the shareholder that has done before. As we would expect asset values to increase from their present real to rock-bottom levels. And that concludes the comments I have to make. So we’d love to open it up for any questions, please.
Operator: Thank you. [Operator Instructions] Our first question comes from line of Omar Nokta of Clarksons Platou Securities. Your line is open.
Omar Nokta: Hi, thank you. Hi, guys. You mentioned the – you’ve built up a very nice cash position at the moment plus a bit more coming with the sale of the vessel and the STNG settling tomorrow. You’ve also shifted $20 million, $25 million in scrubber payments into next year at the earliest. You’ve done some leasebacks and you sold ship. So you mentioned you see yourselves retaining the STNG position and you don’t see any more asset sales for now, beyond just what’s held for sale. And just wanted to confirm on that front, the assets held for sale, are those still the 4 Ultramaxes that you had announced earlier this year? And then, just secondly, wanted to also ask, how do further, say, sale leasebacks fit into this? I know, those are more of a financing as opposed to sale, but just wanted to get some clarity on that.
Emanuele Lauro: Sure. I think that – look, I think the way we’re pretty – you got lot of things have happened in the last week. And I think that we’re indicating really strongly here that, we don’t think that these prices that – one should be a seller of dry-bulk vessels, one also indicating that we don’t have to sell vessels any longer. And so, you might very well get to a situation shortly where we may not feel that we will go ahead with those sales.
Omar Nokta: Okay. All right, and then, next maybe, Robert, we had over the past couple of months, the sale and purchase market had quieted down due to the COVID crisis and people being locked in. Have you seen that opening up? Obviously, you’re able to deliver those 2 ships.
Robert Bugbee: Yeah, I think some of our confidence – or a large part of our confidence is the change. I mean, you can see that we’ve been active sellers of dry cargo vessels now for pretty well on a year. I mean, we have sold vessels regularly in virtually every quarter in one form or another through that period. But none of those sales have really involved, what I would call, very strong cash known buyers in the dry cargo market. And the irony is, is that over these last 5 or 6 weeks that we’ve seen a number of unsolicited offers from literally some of the all-stars of the private shipping world in dry cargo. These people are cash buyers. They see what happens in dry cargo in distress, such as what happened in 2015 or 2008, 2009, and that is that they have the wherewithal to go in, buy dry cargo vessels that are modern, hold them for whatever it takes, a year or – it doesn’t matter so much for what their return is. And wait for what they see has historically always been the inevitable recovery in a cyclical market. And they can read more than anybody that, they grow things that are going on. So that’s been a big change. And that’s something that is – for time immemorial in dry cargo, the markets have been, they’re really bellwether signs, when the cash buyers start to look to buy vessels and this is what we’ve seen in the last 5 weeks. So that is another reason why we are confident that we see – where we’re seeing the bottom being made in values. The other thing is that compared to other times, the public companies themselves, our competitors, are actually in much better shape than they’ve been traditionally. Nobody has long unfunded newbuilding order books. So the irony is that there may not be so many sellers of vessels. There may not be so many bargains, in inverted commas, to have because balance sheets are fundamentally better across the space. Sorry, I forgot to answer the question on the leasing. That’s always an alternative. If we would see that as one of – as another tool that we could add going through time if we needed to.
Omar Nokta: Got it. Thanks, Robert. That’s really good color on that and also the flavor on the S&P market. I did want to also just…
Robert Bugbee: It’s a huge change. It’s a huge change what’s going on in the S&P market. Sorry, Omar.
Omar Nokta: Yeah, no, no. Thanks, Robert. I did want to ask just one more. Just on the scrubber investments, looking in the table, the outlay is about $46.7 million. And on the debt schedule, it shows you have $58 million untapped that’s committed from your lenders. I know that is just down to $56-ish million after the Bolero, but that’s still well above the $46.7 million that’s due. Am I correct in basically all scrubber investments from here are 100% financed with the facilities?
Emanuele Lauro: Hugh, would you like take that?
Hugh Baker: Yes, you are right in that. I think we will obviously be adjusting the scrubber financing going forward to reflect the new revised schedule for our scrubber program. But, obviously, all the scrubbers were essentially financed. And so, therefore, we are going to see the scrubber program essentially get – the scrubber financing will be amended to reflect the new dates.
Omar Nokta: Okay. And is the amount financed, are you able give a percentage of – and what percent of remaining payments are locked up by the debt?
Hugh Baker: I’d have to look and I’d have to take that question offline.
Omar Nokta: Okay. I appreciate it, Hugh. Thank you. And then, Robert, thanks a lot for the market color.
Operator: Thank you. Our next question comes from line of Randy Giveans of Jefferies. Your line is open.
Randy Giveans: Howdy, gentlemen. How is it going?
Emanuele Lauro: Good.
Randy Giveans: All right, the first question is on the Scorpio Tankers share sales. On January 27, STNG share is around $27. You stated, at the time, that STNG was significantly undervalued in terms of asking about selling STNG shares. That said, you sold about half of the STNG shares last week for, I guess, $19 a share. So a few questions, why not sell those shares a few weeks ago? Or if that wasn’t an option, why not maybe sell in a few weeks, right, when STNG is expected to rally with the current record rate levels? And also, why sell half the shares and not maybe a 1/4 of them or even all of them? It’s just something…
Robert Bugbee: I’d say they’re – I think they’re great questions. I think on January 27, even the United States President thought that coronavirus was going to go away. It didn’t even exist in January 27. And the markets themselves weren’t in the situation they are now. So that’s 2020 hindsight. The question related to SALT, it’s preference would have been to, of course, to have held them. I mean, SALT itself intends to hold the rest of the position, because of things that – I mean, previously stated that, we think it’s a good investment. It’s been a great investment, already produced 30% return. But there’s also a very simple thing that had STNG – had SALT not sold those shares, and remember that SALT can’t choose, SALT is a 13D affiliate owner. So it doesn’t have the luxury of selling shares whenever it may want to. So you had a very tight schedule to take that opportunity to do that. And looking at SALT’s balance sheet, I think that the difference is very simple that today we’re announcing a balance sheet that is very strong in its cash position, very strong in its liquidity, very, very capable of dealing and keeping a fleet that we think should be kept on the spot market, because we expect the market to improve. Keeping a fleet together that’s brand-new, best-in-class at the low point in the market, where we are saying there should be asset appreciation that the S&P market is changing as we speak. And that’s great. And we have no issues whatsoever. Had we not sold the shares? Of course, we hope and we may even expect that STNG shares go up in value. Obviously, we do, otherwise, we would have sold more. You still have to be cognizant that today, nothing is guaranteed. So here, STNG can make those sales. Every STNG shareholder lender can sleep well at night, and we can focus on running the company again and looking forward. And that’s the very simple position. It is zero to do with what STNG may think – what SALT may think about STNG. It is quite opposite. And the STNG thought is all about SALT presenting a proper balance sheet to the market to be able to run its fleet spot in what they think is – what we think is going to be an improving market.
Randy Giveans: Got it. Yeah, I wasn’t asking why not sell in January. The world is certainly different in January and maybe a few weeks ago.
Robert Bugbee: Yeah. But why not say in January, it was – no, I mean, January, that’s – January was an age way and January, that particular that nobody in the world was thinking relating to what could happen at the time, et cetera, et cetera. The market’s fickle. I mean STNG itself produced on Wednesday record earnings, record expectation for the second quarter. The rates are still incredibly strong in the product market, but look what the actual stock market did? So SALT must think independently. The board is an independent board. And it must think first on its own balance sheet and its own opportunity prior to maximizing any given value on one investment that it has.
Randy Giveans: Yeah. No. And again, I was saying, I understand the timing as to not sell in January. The world was different then.
Robert Bugbee: Yeah. Exactly. I mean...
Randy Giveans: The question is, was there something specific about the $43 million, Michael? Where did that number, say – all right, let’s say, $2.25 million, like how did that number come about?
Michael Ferrante: There is no real science to those perfect positions. But frankly, having $100 million, $100 million plus of cash right now felt good.
Randy Giveans: Great answer. All right. Thank you very much. Last question. As you mentioned, I think, Emanuele, your 2Q quarter-to-date rates, they kind of underperformed the benchmark for a few reasons, positioning, fuel expense, what have you. So I guess 2 questions on this. There’s a pretty big difference in Ultramax versus Kamsarmax. So is most of those, I guess, fuel charges or positioning for the Ultramax vessels? And then secondly, how have rates been in the last I don’t know, a week or so compared to the quarter-to-date rates? Just trying to get a sense of kind of current and maybe rest of quarter performance.
Emanuele Lauro: The rates. Randy on – have not really moved in any directional way in the last week, right. You still have the indices with the Supramaxes making $4,800 a day today. So – and it hovered around there for the past few weeks. So it had a low of, I think, $4,100 or something like that and then came back up a few hundred bucks, but is nothing to write home about. And yes, on the first part of the question in terms of Kamsarmaxes and Ultramaxes differential, I guess, it’s just down to the positioning and to the fuel element, which I was referring to in my opening remarks. And I’ll have to look into it into more details, but I attribute that to the fact that we have more Ultramaxes in that position compared to Kamsarmaxes.
Randy Giveans: All right. So it sounds like Ultramax rates are a little better now than your quarter-to-date and maybe, Kamsar’s are a little lighter. Is that fair?
Emanuele Lauro: Yeah. Probably that’s a fair reflection, yes. You have Kamsarmaxes, you have Panamax indices now at 6.2. Yeah, that’s probably a fair reflection.
Randy Giveans: Great. All right. Well, that’s it for me. Thanks again.
Emanuele Lauro: Thanks, Randy.
Operator: Thank you. Our next question comes from Greg Lewis of BTIG. Your question, please.
Gregory Lewis: Yes. Thank you, and good morning, good afternoon, everybody.
Emanuele Lauro: Hi, Greg.
Gregory Lewis: Hi. I was just hoping you could give us some color – in the press release, you kind of detailed expected debt amortization over the next few quarters. Just kind of wondering, is there going to be – do you envision – you’re one of the hardest working CFOs in shipping. Do you see any ability to maybe refinance any of this debt to kind of maybe change that amortization schedule as we think about 2020, maybe into the first half of 2021?
Hugh Baker: Yeah. That’s – Greg, that’s a very good question. I think that the – we – obviously, if you go back sort of 3.5 years ago, we did successfully, in fact, twice, agree to defer our amortization with our lenders. I think that, that is something that is beginning to appear in the dry bulk sector. It sort of started. I think that most of the dry bulk companies, including Scorpio Bulkers, are better positioned to manage a downturn than they were 3.5 years ago. But I think that the banks would be very supportive, if we were to make a request. And clearly everyone, and the banks included, are fully aware that we’re in a different environment now than we were in January. And I can’t – I don’t want to create expectations. But I think that if we were to – if dry bulk companies were to have sensible conversations with their lenders, I’m sure that amortization relief can be provided. And certainly, if we were to go down that road, I think we would get a very good hearing from them.
Robert Bugbee: I think I’d like to add to that, Greg, just in general here is that the – as I said, in general, the public companies are in much better position than they were in 2015, without these large sort of unfunded or undelivered built new-building books. The second is that there are companies like ourselves that have already proven to the banks that they can get through a crisis that – et cetera. And fourth those have been proven – well-proven, well-trodden methods of doing that in terms of amortization, which has been traditionally whereby you’re willing to pay some cash in advance to your present amortization. And that’s met by a delay or moratorium on some of the future amortization. And obviously, one of the moves that SALT has, one of the benefits that SALT now has with all the cash that it has on its balance sheet and its present liquidity is it would have the ability to sit in front of a lender and be flexible or – and say, we are willing to do this for you if you were to willing to delay amortization for us, for example. I think, we’d just have to leave it at that for the moment.
Gregory Lewis: Okay. That’s perfect. I’d say, thank you very much for the time.
Robert Bugbee: Thank you.
Operator: Thank you. Our next question comes from Jon Chappell of Evercore. Your question, please.
Jonathan Chappell: Thank you. Guys, I don’t want to belabor the STNG sale. But given everything you said about keeping the dividend, position strength, the balance sheet, it just seems like the timing and the price just doesn’t kind of match up with that position of strength. I get the uncertainty and preparing for the worst. But at a time when STNG was putting up tremendous results and the stock was getting punished, it seems like SALT kind of piled on a little bit with 1.5 million shares at [indiscernible] $19. So I’m just trying to figure out the timing of that? And I understand [indiscernible] period, but why do you need [indiscernible].
Robert Bugbee: Sure. Sure. Sure. I think that’s very easy. You wanted to – you are limited. You are very severely limited in your – in the trading, okay. In trading both in time, time of calendar and time of dates. And the second aspect is, as I said before, is that we – it isn’t a question of necessarily the timing of the STNG position. And the company is liquid and has this balance sheet, because it just sold $43 million worth of shares. Had we not sold those shares, I think the questions today would have been quite rightly something along the following lines. You’ve only got about $60 million worth of liquidity. Your cash covenant is whatever it is, $30 million. You – we understand that you’re optimistic for the future, but your fleet is spot. And rates at present are running below all in breakeven. How long can you last doing this? How are you able to create flexibility, et cetera? So it is a much different position now that you’ve sold those shares. So the correct decision for SALT was to sell those shares. And stock prices are very fickle. They could – it’s a – yes, you could have hung out for $2 or $3 or $5 or $10 more, but it would have been delayed SALT making its progress and able to take its opportunity. And maybe we would have ended up, depending on what happens in the stock market selling even more shares later, which we certainly wouldn’t have wanted to do.
Jonathan Chappell: Okay. Can you just help us understand the quiet period then? Like when would the next restrictions – I understand you don’t want to sell anymore and you’re optimistic in what you have the balance sheet now. But it seems like the market is taking another turn for the worse in most asset classes. So in to that next level of worst case scenario, when would the next quiet period kick in?
Robert Bugbee: Okay. Okay. Well, you got – that’s a matter when the next quiet period – you don’t know when the next quiet period – the next quiet period would be whenever STNG itself could be doing something.
Emanuele Lauro: Well, at the moment, you have material non-public information, Jon. So the problem is that the board of Scorpio Bulkers just did not – first of all, we’re selling at a 30% – making a 30% profit on the investment over the period. Yes, it’s not annualized. It’s over 18 months, not over 12. But still, psychologically, the Board felt very comfortable with the investment. It’s still holding half of its position. We don’t want to run the risk of getting hold of – being locked out by material non-public informations that will force potentially us not to be able to sell the shares. The board just decided very consciously of taking the position of, just put that cash on the balance sheet, and let’s hope we are wrong selling here. It’s as simple as that. But it was not a more difficult conversation at the Board level, and that’s about it really.
Robert Bugbee: Yes. I mean you have to really understand that, that is how literally SALT could get shut out today if there was anything that STNG management was doing that itself should need to be disclosed. And that’s not the right risk that SALT should take. SALT should not take that risk when effectively it should do what it’s done, which is take the opportunity to move a mediocre balance sheet to a strong balance sheet. Thank you. Move on. I mean, it sold 40 million shares in a week where there was $700 million, $800 million volume.
Jonathan Chappell: Understood. Thanks for the answers, guys.
Emanuele Lauro: Sure.
Operator: Thank you. Our next question comes from Liam Burke of B. Riley FBR. Your question, please.
Liam Burke: Thank you. Good morning. Robert, you talked about – seems to be active buyers in the market for assets, for bulk asset – bulk vessel assets. Would you anticipate COVID-19 driving up scrap rates to further increase the value of these assets?
Robert Bugbee: I don’t think that. I think our ships are new enough that the scrap prices are not going to affect – aren’t going to affect in the short term, our prices I think, where scrap prices does matter is, as we move through this period, they act as a protection all the time in the sense that the – if you start getting more increases in fuel prices, you start – or you get a period of – that’s positive way you put pressure on all the ships. And if you get a weaker market, it acts as a safety-valve, whereby older ships get removed quicker from the market, because, as you say, the scrap price goes up.
Liam Burke: Okay. And on the scrubber front, obviously, the spread between high-/low-sulfur fuel has been pretty tight. You’re still comfortable, A, with the investments you’ve made, and then continuing them through 2021?
Robert Bugbee: Yeah, I think that in the longer term, we will – we haven’t changed the thesis related to scrubbers. And in many ways, as the world has greater share going forward potentially of Middle Eastern or Russian crude, that spread could re-widen and re-widen to a very significant level.
Liam Burke: Thank you, Robert.
Operator: Thank you. Our next question comes from J Mintzmyer of Value Investor’s Edge. Your question, please.
J Mintzmyer: Good morning, gentlemen. Thanks for taking my questions.
Robert Bugbee: Good morning.
J Mintzmyer: So, yeah, apologies if it’s already covered. I noted you pushed some of your goods, saving some CapEx in this tough environment. Is there any firm cancellation penalties or requirements in 2021, if you wanted to push them back further, or is that just kind of a gentleman’s agreement, or any other details on that?
Robert Bugbee: Cam, how would you like to answer that?
Cameron Mackey: We just can’t comment on it right now. We’ve been very focused and there’s been a lot of cooperation with the manufacturers, the yards to get these deferrals. And, what happens from here, it will be up to further discussions. We just can’t provide you any more detail on that.
J Mintzmyer: Understandable. I figured I’d try to ask. Look, I mean, it’s a challenging market in dry-bulk sector. You had to look around and raise some cash, so it made sense maybe to sell the STNG shares. What other sort of levers can you pull? I mean you have $100 million in cash that should get you through, I would imagine, most of this year. But if we wake up toward [Technical Difficulty]…
Robert Bugbee: Hello, hello.
J Mintzmyer: What are sort of the levers that you would pull?
Robert Bugbee: Well, I don’t think I [indiscernible], because…
J Mintzmyer: Yeah...
Robert Bugbee: Yeah, I can’t. I think that you, as we’ve indicated earlier in the call, that’s one of the beauties of taking the medicine and selling part of the STNG shares now is that, you are sitting with a lot of cash on the balance sheet more than you need and with great proactive position with lenders and other finances, whether it’s sale leasebacks or whatever. So this is a dynamic target. I mean, the – I think that it is dynamic and people looking at balance sheets in a static way normally don’t sort of appreciate that. And I think that there are levers that we can pull some – couple, we’ve outlined on this call, sale-leasebacks, perhaps amortization, other things. And that’s it.
J Mintzmyer: Yeah, definitely. Definitely tough market. I appreciate you doing what you can. Thanks for taking my questions.
Operator: Thank you. At this time, I’d like to turn the call back over to Hugh Baker for closing remarks. Sir?
Hugh Baker: Thank you, operator. We have no closing remarks. So we’d like to thank everyone on the call and look forward to speaking to you all soon.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.